Ann-Sofie Nordh: Greetings to you all and welcome to this presentation where we will talk through ABB's results for the second quarter. I'm Ann-Sofie Nordh, Head of Investor Relations, and next to me here today is our CFO, Timo Ihamuotila, and for the last time also our CEO, Bjorn Rosengren. They will take you through the presentation after which we as usual open up for the Q&A session. Before we begin though I should mention the information regarding Safe Harbor notices and our use of non-GAAP measures on slide 2. And this call includes forward-looking statements which are subject to risks and uncertainties. And with that said, we kick off and I hand over to you, Bjorn.
Bjorn Rosengren: Thank you Ann-Sofie and a warm welcome from me as well. Let's start on slide 3 with a summary. The quarter developed pretty much as planned except for a couple of areas. First, the record high operational EBITA margin of 19% is better than we originally expected. This was driven by strong performance in three out of four business areas, while Robotics and Discrete Automation came in on the low side. We also had some margin support from one-offs and a slightly lower corporate line. Secondly, the market for Machine Automation is now weaker than anticipated. And lastly performance in the Mobility business is weak. But for the most of our businesses the market activity was solid and I was very good to see growth in the short cycle orders. This compensated for the lower bookings in large orders compared with last year. Sustainability is core to ABB and part of the purpose. Our scope 1, 2 and 3 targets have now been approved by the science-based target initiative. We are committed to reduce our own emissions and support our customers in their journey to transform towards low carbon and energy efficiency. A good example of this is the launch of the robotics new Omnicore controller. Compared with the previous version this controller can make the robot operate 25% faster and consume 20% less energy. It's really great to see our R&D efforts turn to customer value. As an extension to our R&D we continue to invest in technology startups. This quarter we took minority position in two AI-based clean tech companies. But we also announced an acquisition in the Smart Building division. We complement our offering in wiring accessories and broadened our market reach in China by taking over Siemens' Wiring and Accessories. When the deal closes it will add revenues of more than $150 million. As both Morten and Tarak will leave their positions we are happy to announce their replacements. Giampiero Frisio and Brandon are new Presidents for the business areas Electrification and Motion. Some of you have already met them at our earlier CMDs. They both have a long history with ABB and they have proved themselves as great business leaders in the ABB way operating model. Now let's talk about the market development on page 4. In the second quarter comparable orders remained stable year-over-year. Book-to-Bill was positive at 1.02 and orders backlog remained high and about $22 billion. I earlier mentioned the short cycle orders. After several quarters of weakness we now have a positive growth, driven by Electrification and Motion. In the long cycle business the underlying customer activity remains solid and project pipeline intact. But the comparable was high for large orders bookings. For example last year the big Rio Grande order. Let's take a look at the different segments. Demand continues to be very strong in data centers and we had a very high growth. There are also good development in areas of infrastructure, marine but also ports and electrical traction solutions for rail. The Building segment improved, driven by the commercial area, and general industry was stable to slightly improved. It was good to see order growth in robotic business. I already mentioned the weakness in machine automation and E-mobility business. Orders were slow in E-mobility where customers hold off on investment, particularly in Europe. In this business we just launched a new DC charger, which upgrade technology. It has been well received by the customers and it should support orders intake toward the end of the year. Timo will talk about the Machine Building segment later. Now let's turn to slide 5 and look at the development by region. Overall the U.S. remains the most robust market with good demand in the short cycle business, while the total of the American region declined, impacted by the timing of large orders. AMEA increased comparable orders by 9%, with a particularly strong quarter in Australia and in part of the Middle East. China declined year-over-year with weak activity particularly in the Process Automation and continued weakness in residential buildings. Sequentially China remained pretty stable and our view of the China market has not changed during the quarter. Europe dropped by 4% mainly due to weakness in the Machine Automation which has the most of its business in Europe. Now let's turn to slide 6 and our earnings outcome. In the chart you see the strong improvement in both earnings and margins. Operational EBITA was up 10% and margin increased by 150 basic points to 19%, a new all-time high and it was good to see the gross margin improvement. We had good performance in three out of four business areas. Robotic and Discrete Automation was impacted mainly due to decline in the Machine Automation division. Here the market is challenging but remember that this business represent only 3% to 4% of total ABB. This strong performance for the Group was supported by leverage on higher volumes and positive pricing. This more than offset slightly higher spend in example R&D and SG&A. Corporate and others netted out at minus $67 million and Timo will now talk through the details, as there are some puts and takes. Timo?
Timo Ihamuotila: Thanks Bjorn. Yeah, let's look at the different components but first of course welcome to you all from my side as well. So in the details of the corporate and other line we had some positives and negatives which may not repeat. On the positive we had a total of about $75 million related to a reduction of a self-insurance provision and a provision reversal linked to the non-core business. These positives were partially offset by impairments of $48 million in E-mobility which elevated the total quarterly loss in this business to $87 million. The net effect of the two positive non-repeating items and the E-mobility impairments supported the 19% margin by about 30 basis points. In addition the underlying corporate operational costs were slightly lower than anticipated. While there is volatility between quarters I expect the annual run rate for corporate costs in the coming years to be at the $300 million level as we have mentioned before. To round off the Group performance it was good to see the 22% increase in EPS to $0.59. And I just want to add to Bjorn's earlier comments on E-mobility. Clearly this is a transformation year for this business. This means technology investments to a new best-in-class focused product portfolio for DC chargers. These investments and a weak market impacting sales of the old portfolio have burdened results so far this year more than expected, and unfortunately will continue to do so also during the second half of the year. Next year's performance should be significantly helped by both better operations as well as by orders of the new upgraded products driving better gross margin. Now let's flip to slide 7 and Electrification. Here the market environment remains very strong and it was good to see that orders again hit the $4 billion mark, growing 7% on a comparable basis. It is encouraging that the pattern of short cycle order growth continued from the previous quarter, this time at a double digit pace. Customer activity remains persistently high in the project and systems-related businesses although orders declined from last year when we had a very high share of large orders. The Data Center segment continues to stand out as clearly the highest growth segment for El in orders but also the Infrastructure segment improved strongly from last year. Encouragingly we had a positive development in the important Building segment. Commercial building was up in all regions and the strongest momentum was noted in the U.S. On the flip side residential buildings was still muted with a broadly stable development in both U.S. and Europe and continued declines in China. Looking at the chart in the middle you see that we had record high revenues in Electrification even without the Power Conversion division which was divested in July last year. Revenues reached $3.8 billion and grew 7% on a comparable basis. Virtually all divisions contributed to the strong revenue growth which was primarily driven by higher volumes but also by positive pricing. Impressively Electrification delivered another record quarter for both earnings and margin. Operational EBITA was up by 13% from last year with a margin of 23.2%, really well done by the team. Looking ahead into the third quarter, we currently expect double digit growth rate in comparable revenues and the operational EBITA margin to be similar to the second quarter. Let's then move to slide 8 and the Motion business area which delivered yet another quarter with orders of more than $2 billion. Even so the orders declined by 4% year-on-year from the fairly high comparable. Just like in Electrification the short cycle orders improved but this was more than offset by declines in the Project and System-related divisions where orders can be lumpy. Book to bill was 1.03 adding further to the already considerable backlog. We continue to see strength in the areas of rail and power generation. HVAC was positive, driven by commercial buildings mainly in the U.S. Oil and gas declined from last year's high level and some slowness was noted in metals and chemicals. Shifting now to revenues, which was supported by backlog execution and a positive price impact. This was however more than offset by lower volumes in the short cycle areas as the order improvement did not yet convert to revenues. This summed up to a year-on-year decline of 1% in comparable revenues to $2 billion. While earnings decreased slightly by 3% the margin reached a healthy 19.9%. This despite the adverse mix from lower volumes in the higher margin short cycle divisions. This is a good indication of the impressive profitability improvements in the Projects and System businesses. Looking ahead into the third quarter we anticipate a single digit comparable revenue growth year-on-year and operational EBITA margin to be similar to the second quarter. Turning on to slide 9 and Process Automation which delivered another strong quarter. Orders reached $1.8 billion and grew strongly by a comparable 10% from last year, albeit on a relatively easy base. From a customer segment perspective there was a strong trend in marine, ports and chemicals, whereas oil and gas remained broadly stable at the high level. A more muted environment was noted in the areas of pulp and paper as well as metals and mining. However the overall market is healthy and the project pipeline remains robust and intact. Now turning to revenues, Process Automation surpassed our original expectations as they executed well on their strong order backlog. They delivered a 12% increase in comparable revenues reaching $1.7 billion. The growth was supported by three out of four divisions and was driven by both volume and slight positive price impact. Strong development in the service business was also helpful. It was nice to see Process Automation deliver yet another quarter with a margin above 15%, more precisely 15.5% with operational EBITA improving 10% year-on-year. This good outcome was triggered by execution of the order backlog with a higher gross margin offsetting somewhat higher SG&A and R&D expenses. Looking at our expectations for the third quarter we foresee at least mid-single digit growth rate for comparable revenues and the operational EBITA margin to be sequentially similar or slightly down. On slide 10 we turn to Robotics and Discrete Automation. As in previous quarters we need to look at the divisional levels to understand the diverging market environments. Starting with Robotics it was encouraging to see a slight growth in orders, both year-on-year and sequentially. This was mainly driven by the segments of general industry and warehouse automation for consumer industries as well as service. This growth was however partially offset by the negative developments, automotive and electronics. Importantly the impression from the local teams is that inventory levels in the channels are aligned with the current market situation. This adds comfort and we expect orders to increase sequentially. Now turning to Machine Automation. As Bjorn already mentioned this division is facing a challenging market environment. Customers continue to hold back on new orders following a period of pre-buys. As our backlog is now normalizing and we are getting a feel for where the real market is, we clearly sense a lower level than foreseen. Our customers have high stock levels and we expect a continued challenging order situation for the remainder of the year. Both divisions reported a decline in revenues. The positive order development in Robotics did not yet convert and the market slowdown in Machine Automation weighed on revenues as the backlog is normalized. For the business area as a whole this resulted in quarterly revenues of $833 million, down 8% on a comparable basis. The lower production volumes in both divisions resulted in under-absorption which weighed on earnings and margins particularly in Machine Automation. Operational EBITA margin dropped by 420 basis points from last year to 11.1%. On the back of the weaker market Machine Automation has initiated further cost measures to defend future profitability. However benefits from these actions will not start coming through until towards the end of this year meaning we expect the margin to be under pressure in the third quarter which however should be the trough period for both revenues and margin in machine automation. In total, for the quarter we expect negative growth in the mid-teens range in comparable revenues and sequential pressure on the operational EBITA margin. Moving on to slide 11, showing the Group operational EBITA Bridge. The impacts from our positive price execution at about 1% and leverage on higher volumes more than offset the adverse effects from an increased spend in R&D and SG&A. The provision reversals booked in corporate this quarter helped to offset the higher than anticipated loss in the E-mobility business as we mentioned earlier, all in all a 10% improvement in operational EBITA with a 150 basis points margin increase. Finally from me let's move on to cash flow on slide 12. The $918 million of free cash flow is in my view another solid cash delivery. Our free cash flow of almost $1.5 billion for first half '24 adds to our confidence of at least reaching last year's good level. All business areas improved cash generation from last year. The increase was mainly driven by a lower build-up of networking capital with improvements in all key components but also a slight increase in operational performance. Networking capital in relation to revenues remained sequentially stable at just above 11%. Now at this point I normally just hand over to Bjorn to finalize, but as this is our last quarterly call together I would like to thank you Bjorn for great cooperation during the years we have worked together and wish you all the best in your future endeavors. It's been also fun. So and with that I would hand over to you to finalize this presentation.
Bjorn Rosengren: Thank you Timo, and likewise it has been a pleasure working with you too. So let's finish off with outlook comments on slide 13. For the third quarter we anticipate a sequentially higher growth rate in comparable revenues and operating EBITA margin to be around 18.5% or slightly below. Now Ann-Sofie, let's open up for questions.
A - Ann-Sofie Nordh: Yes let's do so. [Operator Instructions] Also just remember to mute the webcast as your line is open and limit it to one question. That way we allow for as many as possible of you to get through. But you can also put questions through the online tool in the webcast and then I will voice them over from here. And just before I let the questions flow I just want to say that if all goes to plan we will have our incoming CEO, Morten popping in right at the end. So stay tuned. And with that said, we'll open up for the first question, and the line should be open for you Daniela, Goldman Sachs.
Daniela Costa: Hi, good morning. Am I on now?
Ann-Sofie Nordh: You are.
Daniela Costa: Perfect. Thank you very much. So I have two questions. One more on the shorter term and then one for Bjorn, as his last call. But on the shorter term just, I see quite strong commentary regarding construction especially on the non-resi side, but it contrast with the high rates and a lot of data like the Architectural Billings Index and the Dodge Momentum and other metrics that have been a bit more on the weaker side lately. Can you comment on exactly is it sort of market share gains that you think you have had on this segment? Is it specific to Electrification? How do we see the sustainability of this going forward given some of the leading indicators?
Bjorn Rosengren: You want to take it?
Timo Ihamuotila: Yeah sure, thanks Daniela for the question. I mean as we said the commercial construction showed strong performance for us and I would say that some of our divisions have also diverted their activity to this area given that it's been a little bit weaker in the resi. So if I just give one example in our electrification smart buildings we actually had almost 10% growth in orders this quarter and that's really a testament to these guys also going after new markets. So I can't give sort of any market share gain statistics but commercial construction was strong for us particularly U.S. driven by Electrification but also some other markets like for example Middle East. So that's what's driving it.
Daniela Costa: Thank you. And then I guess sort of for Bjorn given it's sort of he's soon departing. When you look at the structure of the portfolio today what are the areas that you would say sort of you wish you had seen further progress? Or are there still any areas of particular self-help that you think either organic or inorganic provide an opportunity going forward or pretty much is more about growth going forward?
Bjorn Rosengren: Yeah. First I think one of the important journeys that we did was moving the company from some perceived as a conglomerate towards to a more purpose-driven structure and of course that driven by Electrification and Automation. I think if we look at our divisions today they are very much aligned with the purpose, and I think also most of our businesses are number one or number two in the areas where they operate. So I think we see a good structure today and good product lines all over. And I think this also shows the comparison with some of those global trends that we are positioned in the whole Electrification part but also the strength in the medium voltage set as this part of the ABB offering is very good. And if you look at the Process Automation this is all these traditional industries and also new industries that are converting to become more sustainable and this whole efficiency drive their part is of course benefiting the ABB growth. And when you look at Automation we are, robot as you heard in the presentation is actually moving in the right direction with more orders more sequentially and year-over-year and I think that business is well positioned for the future. But I think what we've seen especially on machine automation in Europe but also international that it is a little bit weaker and probably driven by some higher interest rates due in part, there maybe companies holding back some of the automation investments but we are very confident that this part of the market will also come back. So when I look at the portfolio I think we are in a good shape. What I do believe in the future is that we continue the acquisition TAM as we have started, and as I said five to ten per year with these small to medium size add-on to strength in that business and we have a pretty good pipeline, I can say on that part, and you've seen of course some of them coming through. So I think this is a good way to strengthen both technology as well as the offering that we have but overall I think ABB is in a good place.
Daniela Costa: Thank you very much and good luck for what's next.
Bjorn Rosengren: Thank you.
Ann-Sofie Nordh: Thank you Daniela. We'll move to Andy at JP Morgan. Your line should be open.
Andy Wilson: Hi, good morning. Thanks for taking my question. I've got two. On the short cycle commentary I just wanted to make sure that I understood that it was progressed both year-on-year and also sequentially in terms of the Q2. I guess I'm interested if you saw a pickup in Q2 versus Q1 and obviously if that's different by business area that would be useful color as well.
Bjorn Rosengren: Yeah. Maybe I just can comment first and you can add on Timo. I think the short cycle business is up as we said. The two big product areas or business areas, Electrification we saw during first quarter approximately mid-teens short cycle growth and in the second quarter 10%. And when you look at the motion it was pretty flat during the first quarter. Now it's up mid-teens. So both of these business is developing on the short cycle business. If you want to add something Timo?
Timo Ihamuotila: Well, maybe the only thing to add is that also on whole ABB level it has turned to a positive after six quarters of negative year-on-year growth. I would think just in my head that it would be a slight positive also sequentially but that number I do not have now sort of calculated.
Andy Wilson: Thank you, and just I guess the other side of that equation just as a follow-up. On the contracting environment, there's sort of a number of mentions in the release and in your commentary around projects and systems being obviously slower year-on-year, appreciate a tough comp. Just to check there's nothing there in terms of a kind of a pullback in customer decision making or a slowdown in customer decision making this literally is just timing and the size of the Q2 comps.
Bjorn Rosengren: I mean we've seen of course the long cycle business, the project business being the really driving force during the last year and it has been extremely strong. So we booked some fantastic orders during the years which will of course be transforming into revenues during the coming years. So we see the pipeline for this project to continue to be very strong. So we are not worried at all. I mean for us what's more important to see that the short cycle business which is the everyday business is continued to picking up. I think that is showing the trend in the market.
Andy Wilson: Thank you and good luck, Bjorn.
Bjorn Rosengren: Thank you, Andy.
Ann-Sofie Nordh: Thank you. And can I remind you of the discipline of sticking to one question otherwise we're not going to get through this list. And that said I will take a question from the web tool and it comes from Kulwinder saying could you please elaborate on the profitability protection actions in Machine Automation.
Bjorn Rosengren: Okay. I can talk about that. I mean the operating model we have, this is really made for this that the divisions that have a strong demand in the market they accelerate, they invest, they continue to drive their business. And when the divisions that are seeing more headwind they of course adopt their operations in line with that demand and that is what's taking place today in machine automation. But when you look at machine automation this is mainly OEM customers which means that when our customers to the machines builder are building a machine our equipment goes inside. And a majority of the business is in Europe and Germany is a very important market there, and we've seen slowdown in industrial automation investment and that is affecting that. But we are adopting to make sure that we protect our margins and when the market comes back of course this business will continue to deliver good performance.
Timo Ihamuotila: Yeah, maybe if I just comment from numbers perspective. So I don't know if you noticed but we had a little bit higher restructuring line, Q2 and we also upped our estimate a bit for Q3 and this is really coming from this area. So the change is really the restructuring happening in machine automation which as Bjorn said needs to happen now we need to adjust the cost base.
Ann-Sofie Nordh: Okay. And then we have Martin Wilkie at Citi waiting on the line, I hope.
Martin Wilkie: Yeah, good morning. Thank you. It's Martin from Citi. I'll just stick to the one question then. The question I had was on trade tariffs, and obviously we don't know if tariffs will be changing potentially next year into the U.S. but could you remind us obviously back in 2018-2019 we saw some tariffs. I don't think the impact for ABB was so large at that time but given we've had some structural changes since then can you remind us if there are large massive products are moved between the regions, how you're thinking about the risk of increasing tariffs and how you might react to that.
Bjorn Rosengren: Tariffs is not a big issue for ABB. As you know we have local for local strategy where we are building up a sourcing structure locally and that has been going on for many, many years. So China we're 95% self-sufficient, the same in Europe and U.S. we are going maybe from 80 to 85% with the investments we are doing in our operations. So that has actually never been a big issue for us in the businesses. I don't know if you have any…
Timo Ihamuotila: I have just one recollection from 2018 on this topic that then we still had power grids and the biggest topic for us it was not a big impact on ABB level, as you said are huge but the biggest was in e-steel, and at the moment we actually have less of that as well. So I think we have moved to an even better position in this regard than what we had then.
Ann-Sofie Nordh: Okay. Thank you very much, thanks Martin, and we open up the line for Andre at UBS.
Andre Kukhnin: Good morning. Thank you very much for taking my question. I will also stick to one, and we'll start with a very warm thank you to Bjorn for all the insights over the years. It really has been a pleasure and a learning experience, I think for all of us, and certainly for me.
Bjorn Rosengren: Thank you.
Andre Kukhnin: I wanted to ask around -- thank you -- around data centers. You obviously highlight the strong performance. Maybe you could give us some numbers around that kind of where you are in second quarter or first half in terms of growth rates or maybe an indication of book-to-bill. And maybe just a broader question as well, clearly you you're benefiting in this space by being a very strong player in medium voltage more broadly, and you have got some elements of data center specific offering that are doing well as well. Is there a consideration to try to bolster the latter and maybe to expand across the value chain in data centers maybe into areas like cooling or anywhere else?
Bjorn Rosengren: Yeah, of course data centers is an important and becoming even more important as our order book continues to grow which is almost double as our revenue level. So maybe you want to give some numbers on the data center exactly to show what enormous growth we have there.
Timo Ihamuotila: Yeah, happy to. So as we said in the CMD the last five years or so, the growth rate I think we mentioned was like 24%, 25% and when we look at Q2 we grew clearly faster than this in orders. And yes, the book-to-bill continues to be positive and it starts to be actually close to 15% now of orders when you look at El, so we are clearly on that run rate above $2 billion mark on annual, so some hundreds of millions above. So it's continuing to be a very strong trend. I don't know if you want to comment on the product portfolio or the cooling side of the question.
Bjorn Rosengren: Yeah, I mean we can if we talk about the data centers of course on the gray side or the medium voltage the whole infrastructure to that we have of course a strong position. But also on the white side mean inside with the UPS and that we have a good offering there which is actually growing strongly in the market. So I think from products to be used inside the data centers is also increasing quite good today.
Timo Ihamuotila: Yeah, but maybe on the portfolio I don't -- I mean we have no plans to change the offering and to do to kind of like go into cooling or something like that. We have good partnerships in different parts of the world, actually regional partnerships with whom we work on the cooling area. So we don't think that we are in any ways in a deferior position with our offering to data centers even if we do not offer for example cooling ourselves. And actually you mentioned the data centers getting bigger, so this is really good for us because you know the bigger the data center the more of course medium voltage pipe it needs to come in and here one of the key growth areas looking forward for us when we look at the order book in this area are these medium voltage UPS products where we expect really strong growth, now going into second half as well.
Bjorn Rosengren: We also believe that we are taking market share also in the data center business.
Ann-Sofie Nordh: You happy with that Andre? Then we move on.
Andre Kukhnin: Thank you.
Ann-Sofie Nordh: Thanks. Joe at Cowen, your line should be open now.
Joe Giordano: Hey guys, thanks for taking my question, and Bjorn thanks for everything over the years here. I've never dealt with another CEO at ABB in my coverage, so it's been great. Thank you. If you could talk through maybe the mix at PA, it seems like margins there have somewhat flattened out a bit here and what's kind of needed there to move up to take another leg higher in margins there.
Bjorn Rosengren: Yeah, I'm extremely pleased with the Process Automation margins and the journey that they had. You know they were delivering just over 10% including the turbo business which I had a certain naming for at that time. I'm not going to say it now. Now which that business is by itself and you're probably followed that development which is an amazing performance on the Swiss Stock Exchange. They have managed by proving that the value in what we are doing actually adds a lot of value to our customers. And all of this have developed and that's actually come from the gross margin improvement. This means that the solutions that we are putting in there the customers are really prepared to pay for. So they are of course also dragging a lot of ABB equipment there both from the motion electrification side. So besides these over 15% margin that we have electrification is getting their full margin in their own business as well as motion. So if you look at the total -- and I also would like to mention the working capital which is negative which means that if you look at all businesses we have, it actually has the highest return on capital employed of all our businesses. So I think being over 15% is amazing well done from these businesses. I think the important thing now is growth. They have gone the division from stability, profitability and now moving over to growth in these businesses that means growing with high margin and the whole transformation in the process industries that is taking place that's where we're going to see good growth. So we are very optimistic about that and also to be remaining with good margin. I'm really happy with the PA performance.
Ann-Sofie Nordh: Okay, thank you, and I'll cut in between here with a question from the web tool, which is from Oskar. He says you guide for around 5% revenue growth this year. So far in the first half it's 3%. Do you still feel comfortable with the full year guidance? I don't know, Timo?
Timo Ihamuotila: Yeah, sure. Yes, we feel comfortable with the full year guidance and maybe if you look at this because we have a situation where the sort of backlog got longer than in a way in a normal situation and now when the delivery times are normalizing people are ordering more book and build type of business. And when we look at our numbers so for 5% growth you would sort of need to come on sort of let's say similar FX rate to about $34 billion, maybe a bit less than $34 billion. And if you look at how much we have now revenue plus what we expect from backlog conversion with this I think 49% number which we gave out today that's like 27.3, 27.4 and you need to add about 6.5 to that to get to that growth. And that means that we should have book and bill about 5% higher than last year but we already Q2 were kind of 5% higher and we actually check these numbers because this is of course important question for us to understand as well what was the situation before COVID and actually we were more in these kind of levels. Actually we had even higher book and bill. So that gives us confidence on the revenue growth. Now of course we have a situation where RA is less than we expected going into the year and we then expect to cover that more from Electrification and Process Automation, as Bjorn was also discussing.
Ann-Sofie Nordh: Very good, thanks for that. And then we open up the line for Max at Morgan Stanley. Max?
Max Yates: Thank you, good morning. Bjorn, I just wanted to ask on the margins because I guess we look at the margins this quarter they're 19%. They're kind of the upper end of that 16% to 19% guidance that you've given for the Group, but I guess the mix of margins is a bit different to what you would maybe expect with Electrification at 23% and robotics at sort of more like Robotics and Automation at 11. So I guess my question is given what we're seeing in the electrification margins and given kind of how much higher they've moved are there any areas in there where you worry about the sustainability of these margins on a kind of two to three year view? Are there any pockets where you think the pricing environment is particularly abnormal or favorable, or really do you see this as a sustainable level? But I guess the reason I ask is if you can sustain 23 and then you get a Robotics recovery then you should be at least at the top end of that 16% to 19% margin values. Thank you.
Bjorn Rosengren: Yeah, number one from electrification and that's also the question that you can in the future ask Morten about because he's been part of creating that. I mean this is of course creating from our portfolio the value we are putting in but also the good growth numbers that we are seeing. And the good stuff here I mean you've been with us for not that long but if you go back two years the DS business which was majority medium voltage was somewhat challenging on the margin side. This business is today performing excellent with good margins. So even the spots where we, after the acquisition, GIS have now come up and U.S. which was a little bit lower on the margin side have now improved so much, so it actually contributes to the profit margin of the Group. So I think I feel very confident about the Electrification business and the margins going forward. So that is, and I think when you look at the Process Automation and Motion which are both doing very well we believe that there will be a good demand for these products in the future which also will protect the margin. And of course, on the robotics where we'll see recovery but it will of course be a little bit more challenging during -- with the Machine Automation the rest year but that will come back. So, yeah, the potential of this Group is enormous which I have said from the first day I came in, and I think they deliver in line with that, and I think well positioned. So it should be paying off. But I think still we stick with the guidance and we think this is quite good challenging and a lot of focusing on growth going forward with good margin.
Max Yates: Okay, thank you very much and good luck in the future, Bjorn.
Bjorn Rosengren: Thank you Max.
Ann-Sofie Nordh: And then we open up for Will Mackie at Kepler Cheuvreux. Are you with us Will?
William Mackie: I am with you. Good morning everybody. Bjorn, [indiscernible] indeed.
Bjorn Rosengren: Thanks.
William Mackie: So two half questions please because they're follow-ups. To follow up on the margin question first, and to kind of square this off. You achieved 18.4% in the first half. You're guiding for 18.5% in the third quarter, and yet you guide for 18% in the full year but with implied revenue growth and strong performance in your largest divisions. Why are you implying a drop in margin in the fourth quarter, that maybe you can walk through some of the moving parts?
Bjorn Rosengren: This is something that's been with ABB. If you go back and you can follow the fourth quarter, as long as you look backwards. We normally close down for Christmas and December and the ending of that part is significantly lower. So we've always been a couple percentage points lower during the last quarter but that doesn't change the whole. If you're looking for…
Timo Ihamuotila: About 150 basis points to be exact.
Bjorn Rosengren: 150 basis points, yeah. That has been, and if that's not going to be we'll see of that but that is what the expectations have been with December, that is normally. But I think the most important is to look the year-over-year for the full year and to reaching 18% which is actually on the upper end of our financial targets, the one that we have for the Group. I think these are good numbers. And then you're looking at some of the really growth businesses are showing even higher number, which I think is ensuring for the future. So I think ABB should continue with good margin in line with the best peers in the market and then drive growth and that is what the good value creation is going to come going forward.
William Mackie: Thank you very much for your patience. The second follow-up is about distribution solutions. Just to follow regarding your comments on medium voltage. Can you give a sense of how much additional growth you could achieve there and the type of volume and price dynamics you're seeing?
Bjorn Rosengren: Yeah, DS has of course gone, and the medium voltage business from something that the market considered, something that you just had in your portfolio to being super focused and strong demand for. And the good thing here is when we made the changes or actually Morten made the changes two years ago with the management, and we put in new management and we separated the low voltage switchgear with the medium voltage and got the focus. The DS performance is one of the really success stories I would say. So today they're delivering really good margin in the medium voltage part and that is of course a strong driver in the whole transformation. So we think that will continue and we think ABB will be a strong and major player in this region and this segment.
William Mackie: Thanks, Bjorn.
Ann-Sofie Nordh: Okay, two half questions. That's an interesting definition, Will. We'll come back to that I think. We open up the line for Alex at Bank of America Merrill Lynch.
Alex Virgo : Yeah, morning Bjorn, Timo, Ann-Sofie and very best of luck in your future endeavors. Bjorn, it's been great working with you over the last few years. Well done on getting ABB into the position it's in. I wondered if you could talk a little bit about pricing dynamics generally. I guess I'm most interested in EL and MO given the operating leverage and you're implying at least very strong growth in EL in Q3 as well. So I just wondered if you could give us an update on pricing.
Bjorn Rosengren: Yeah, I think we are very pleased to see that pricing continues to be one of the factors in the improvement of the margin and the gross margin that we are seeing in the part. If you're looking for the Group, it's approximately 1% during the quarter, and if you wanted some details…
Timo Ihamuotila: It's similar in EL and in Motion as well. So that's where the pricing is coming from. So exactly in the areas what you mentioned in your question. So quite pleased with the pricing development. And at the same time, I think it's worth noting that our variable cost performance has been very good. So we had really good supply chain operations work at the same time with the pricing and that's why we have the record gross margin. So our gross margin is 38.5%, and even if you take out the so called, let's call them one offs for this purpose on the quarter, we are clearly above 38% gross margin in the company. And that's really important because under the hood, even if we are doing these kinds of operating markets, we are, as Bjorn was saying, investing a lot in growth. So our R&D is up about %90 million first half '24 compared to first half '23. And we are also, as you know, we are investing a lot more in CapEx than our depreciation. We are targeting %900 million. Our depreciation is like estimated maybe $580 million and we are also doing clearly more revenue expected from the signed M&A deals than earlier, maybe say $250 million we have signed of revenue this year compared to about $60 million last year. And we are also investing more than last year on these minority investments. So we are really putting a lot of investment behind growth and at the same time, as you can see from the gross margin, it is really good quality growth.
Bjorn Rosengren: One thing, one important measurement for us is the productivity and we measure productivity in gross margin productivity, gross margin per employee. And this is of course developing very, very strong with the growth that we are seeing and manage to keep our personnel cost on a good level. So that is important to drive profitability going forward.
Ann-Sofie Nordh: I think it's just worth mentioning that we have neutral to positive pricing in all business areas this quarter. So nice.
Timo Ihamuotila: Good. Should have remembered that as well. Thanks, Ann-Sofie.
Ann-Sofie Nordh: And then we'll open up the line for James at Redburn.
James Moore: Hey, everyone. Can you hear me?
Ann-Sofie Nordh: Yes, we can.
James Moore: Yeah. Morning. Well, as it's your last quarter, can I also congratulate you, Bjorn and of course, Timo. You both presided over massive margin expansion. I just checked in the first 20 years I covered ABB before you joined, margin averaged 10%. It was 11% when you joined and it's now 18%, 19$, which for such a large company is truly remarkable, which kind of brings me to my question, which is similar to Max's, but more about the operating model than mix. So some investors worry that what goes up will come back down, and that your playbook is so as it was at Sandvik, Mozilla, Atlas, I've seen it all. And you have over squeezed the lemon and that profitability won't be sustained. What can you give investors today to allay that fear before you leave? And maybe talk a bit about next year if that's a way of anchoring.
Bjorn Rosengren: I'll let Timo start and…
Timo Ihamuotila: I think I went through a lot of stuff in the previous answer, which really shows that we have not squeezed the lemon, that we are really investing on all of these areas and we are investing behind good quality growth, which comes with good gross margin. But please…
Bjorn Rosengren: I think it's important. Squeezing the lemon is not what we want to do. And we want to create an ABB which delivers good gross margin, because that reflects actually the value that we can create to the customers. And we want to grow these businesses in line with our purpose. And I think ABB way of operating model is working very well. And it's well established in the Group today. I don't think anyone would question that. And Morten, who is replacing me, has been, of course, one of the most active participants in this whole transformation and driven that enormous change. So I feel that the margins that you are talking about are very sustainable. And I think going backward to other companies that we have done the similar, like Atlas, Copco and Sandvik and so we can see that the margin continues to be strong and stays on that part. And that was one of the reasons also why we set the financial margin between 16% and 19%, shows that even in a really tough market, the company will deliver good performance. So I think you can sit back there and participate in the growth.
James Moore: Excellent job. Thank you so much.
Bjorn Rosengren: Thank you, James.
Ann-Sofie Nordh: And then we'll see if we can squeeze in a few more questions here before we run out of time. Alasdair at Bernstein, are you with us?
Alasdair Leslie: Hi, good morning, everyone. Thank you. So I had a question on data centers. I guess an interesting comment you gave there on the data center order strategy, so kind of very positive. I was wondering whether you're sort of seeing any changes in the duration on those orders. Are they extending further into 2025? And in terms of kind of capacity to meet that demand, how are lead times developing across some of your key products? I guess what I'd like to better understand is just how quickly data center sales can accelerate from there. Thank you.
Bjorn Rosengren: Yeah, I mean, the order book is probably until the end of '26 somewhere, if I recall what Morten said. So the demand continues on that part. And we do believe that this will continue in the near future. That's pretty clear. And also hang on for quite some time. I don't know if you want to...
Timo Ihamuotila: Yeah, just if we look at some of the data from the medium voltage business, so I think before this data center boom started to really take off, we had more like deliveries on about six months. Now we are maybe more sort of people are placing orders to about one year out, but it's not like we would be having a tricky time delivering. So most important here is, of course, that when you agree that order is delivered, for example, one year from now, then you also deliver one year from now. And then there we are doing really good job on on-time delivery.
Bjorn Rosengren: Yeah, I think we managed to keep the capacity on a good level. And I think we have benefited a lot from that during the last year.
Ann-Sofie Nordh: Okay. I see now that…
Alasdair Leslie: Thank you.
Ann-Sofie Nordh: Thanks. I see now that Morten has made it here. And I know it's a busy day for a lot of people in the financial industry today with lots of reporting. So we'll end it here. And for those of you who haven't got through, please reach out and we'll try and help you separately. And with that, Bjorn, since it's your last go, do you want to say a few words?
Bjorn Rosengren: Yeah, I would really like to do that. And it is four years ago since we in June 2020 met for the first time in the Capital Market Day, and when we drew up the direction for the Group with ABB Way, but also a purpose-driven focused organization. It's been a fantastic journey for me and for the company. It's been a challenging external environment with COVID, with wars, with supply chain issues, with inflation, things that I haven't experienced in my career before. But at the same time it's been an amazing journey for ABB. And it's been a great pleasure to work with ABB and together with the whole team, all the divisions and all the Executive Committee, make ABB perform in line with the best peers in the market, but also position it well for future growth and some of those great secular trends. One important person who has been participating in this has been Morten. And I'm really pleased that you are going to replace me. I'm very happy with the performance that you have generated during these years. And you've been a strong driver in the ABB Way. Sometimes I think you are more decentralized than I am. I welcome you and I wish you also the best.
Morten Wierod: Thank you, Bjorn. Thanks, Bjorn. And it's been a pleasure working with Bjorn over the last five years. He has, with his empowerment and his open style, I think it fits very well with me, but it fits just very well with ABB. I've been here for 25 years, and I think in the spirit, Bjorn has also been there in his mindset. So I'm really looking forward now also to the new challenge, starting 1st of August, starting to lead ABB, the company, after more than 25 years, being in the commercial front line and knowing our operations around the world, both Motion Electrification and not so much in Process Automation and Robotics and Discrete Automation or over areas that I will have the opportunity to also now get deeper into the details. So what has been driving the engagement and the performance of ABB the last years has been also the decentralized model of full accountability to the divisions, what we call the ABB Way. And that I can confirm also, I truly believe in. I've been working closely with Bjorn on this together with the whole Executive Committee, that we also say this is how we want to run the company. And that's also how we want to run the company in the future, because I believe it's the right way for ABB. That's who we are as a company. Last year, we had many of you in Frosinone in Italy. You showed some of our operations there. And we presented our financial, our sustainability ambitions and targets for the next years. And also coming on board, I can confirm that they, of course, stays in line, because that was, again, a team commitment we did there as an executive committee. And it is anchored also within our operating divisions in the long-term performance planning. Of course, now the change, as you are hearing already, is the capital allocation more towards growth, both in the field of investment in sales and market coverage, but of course, also in technology with R&D, with the ambition to get up to 5% now in the coming years. And we also have the freedom and the expectations, as most of our divisions are in growth mode, means that the expectations of M&A and bolt-on acquisitions is absolutely there, and we're already showing it. I'm happy to see the pipeline that is there in place. So now I'm looking forward to start working, continue to work with our customers, our partners, our great team members of ABB, when the technology of ABB, our products, our systems, our digital offerings, our services, when that comes together, helping customers to decarbonize, to become more resource efficient, that's when ABB is at its best. So now I'm looking forward to soon getting to the job, but before that, I think everybody or many of us will take a well-deserved break and a vacation. So I want to first again thank you, Bjorn, for your fantastic leadership, how you have worked with us, and I'm looking forward then to connect with everybody after Q3 announcement. So happy summer.
Bjorn Rosengren: Thank you, Morten. Thank you. Good speech.